Operator: Greetings, and welcome to the Civeo Corporation Fourth Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce, Regan Nielsen, Vice President, Corporate Development and Investor Relations. Please go ahead.
Regan Nielsen: Thank you, and welcome to Civeo's fourth quarter and full year 2024 earnings conference call. Today, our call will be led by Bradley Dodson, Civeo's President and Chief Executive Officer; and Collin Gerry, Civeo's Chief Financial Officer and Treasurer. Before we begin, we would like to caution listeners regarding forward-looking statements. To the extent that our remarks today contain anything other than historical information, please note that we're relying on the Safe Harbor protections afforded by federal law. Any such remarks should be read in the context of the many factors that affect our business, including risks and uncertainties disclosed in our Forms 10-K, 10-Q, and other SEC filings. Also, as noted in our earnings release, we have provided supplemental data disclosing revenue associated with our asset-light business and those of our asset-intensive businesses. This data can be found in the earnings release schedules. I'll now turn the call over to Bradley.
Bradley Dodson: Thank you, Regan, and thank you all for joining us today on our fourth quarter and full year 2024 earnings call. I'll start the call today with the key takeaways, and then I'll provide a brief summary of our fourth quarter and full year 2024 performance. Then Collin will provide a financial and segment-level review, and I'll conclude our prepared comments with our initial 2025 guidance and the underlying regional assumptions. Thereafter, we'll open the call for questions. I'll start with our key takeaways for the quarter and the full year. Starting in Australia, we continue to execute on our growth strategy and are experiencing strong occupancy levels in the region. Revenues in that segment increased 23% compared to the fourth quarter of 2023. This was driven by increased activity in our integrated services business from our recently announced $1.4 billion contract. We also recently announced an acquisition of four villages in the Australian Bowen Basin. This acquisition is expected to be immediately accretive to cash flow and will expand our presence into a new area of that basin. It also advances our goal to secure steady sources of revenues and earnings, as it's back with two and three-year take-or-pay contracts with new and existing blue chip customers. Moving to Canada, We experienced lower build rooms as a result of our customers' reduced capital spending in response to their investor pressure as well as increasing economic and political uncertainty, which we expect to continue in 2025. While some of the decline in Canada was expected and correlated with the wind down in LNG-related activity, Canadian lodge billed rooms did not recover as expected from the negative impact of the wildfires in the third quarter of 2024, due to the aforementioned customer focus on cost reductions. In response to these challenges and expectations for a continued lower level of customer spending in the region, we've begun rightsizing our Canadian business to address this new level of uncertainty and taking further strategic actions to expand our geographic and end market reach to reduce our dependency on oil sands activity. We will incur one-time restructuring costs of approximately $3 million in the first quarter of 2025, as we could close existing lodges and reduced overhead headcount by approximately 25%, which we expect to strengthen our results in the medium term. While we acknowledge and are addressing the near-term reality of the unfavorable trough in Canadian oil and LNG-related activity, we remain optimistic for the medium to long-term outlook for the business. High bidding activity in diversified end markets ramp up an additional -- ramp-up of additional Canadian LNG projects, a potential positive shift in the federal -- Canadian federal government policy and carbon capture initiatives, namely the pathways projects, these could be catalysts for growth moving forward. So lastly, for the full year of 2024, we returned approximately $44 million of capital to shareholders through our quarterly dividends and share repurchases. This represented approximately 65% of 2024's free cash flow. Since the initiation of our share repurchase program in 2021, we have repurchased approximately the equivalent of 20% of our common shares outstanding. Let me take a moment to provide a bit of context on the evolution before I hand it over to Collin. 10 years ago, Civeo was much more an asset-intensive company, focusing on capital deployment on internal manufacturing and installation of new lodges and villages. At the time of our spin, Civeo had $775 million of debt, and our revenue was approximately 70% tied to Canadian oil sands, most of which was supporting customers' construction activity and building the majority of the oil sands infrastructure that exists today. Since then, we have successfully deleveraged the company and diversified our revenue sources. We first entered in -- entered the integrated services market in Australia with the Action Industrial Catering acquisition in 2019 and have focused on growth, delivering a five-year top line organic CAGR of 38% in that business. This asset-light business provides catering and facility management services to our clients at both our owned and our customer-owned accommodation assets. Our revenue mix today is more weighted to steel banking commodities in Australia and we have a much lower debt profile. To better illustrate the evolution of our business and our current asset mix, we have provided new supplemental disclosure that illustrates the revenues of our asset-light business, which includes hospitality services at both our owned assets and our customer-owned assets. And our asset-intensive business, which largely includes the accommodations revenue associated with our lodge and village assets as well as our Canadian mobile camp business. We believe that investors continue to perceive Civeo as a pure-play accommodations or asset-intensive business. So we provided supplemental disclosure to highlight the key components of our business and show the significant growth we've achieved in integrated services or the asset-light part of the business. We are positioning the company for ongoing value creation over the next 10 years. In the short run, this means continuing diversification of our revenue streams, as evidenced by our recent Australian acquisition announcement and redirecting our capital spend to the markets where conditions warrant change. With that, we'll turn it over to Collin.
Collin Gerry: Thank you, Bradley, and thank you all for joining us this morning. Today, we reported total revenues in the fourth quarter of $151 million, with a net loss of $15.1 million or $1.10 per diluted share. During the fourth quarter, we generated adjusted EBITDA of $11.4 million and operating cash flow of $9.5 million. The decrease in adjusted EBITDA in the fourth quarter of 2024 compared to 2023 was primarily due to decrease build rooms at the Canadian lodges. This lower level of customer spending is expected to continue as producers in the region are keenly focused on reducing operating costs. The decrease in cash flow relative to the year ago quarter was negatively impacted by net proceeds related to the sales in the Helen Lake Lodge and hold back collections related to the wind down of Canadian mobile camp projects in the fourth quarter of 2023. For the full year 2024, we reported revenues of $682 million and a net loss of $17.1 million or $1.19 per diluted share. In 2024, we generated adjusted EBITDA of $79.9 million, a decrease from our 2023 adjusted EBITDA of $106.5 million. The decrease in adjusted EBITDA for the full year as compared to 2023 was largely driven by the McClelland Lake Lodge sale, which occurred in 2023. And the expected wind down of LNG-related activity in Canada that impacted both some of our own lodges as well as our mobile camp activity, which was offset by increased build rooms in the Australian owned villages and increased Australian integrated services activity. Let's now turn to the fourth quarter results for our two segments. I'll begin with a review of the Australian segment performance compared to its performance a year ago. Fourth quarter revenues from our Australian segment were $110 million, up 23% from $89.3 million in the fourth quarter of 2023. Adjusted EBITDA was $22.2 million, up 3% from $21.5 million last year. The increase in revenues and adjusted EBITDA was primarily due to increased integrated services activity related to our recent contract announcement. Australian build rooms in the quarter are 637,000 rooms, relatively flat from the fourth quarter of 2023. Our daily room rate for our Australian owned villages in US dollars was $77, which increased from $74 in the fourth quarter of 2023 due to CPI escalations in the recent contracts. Turning to Canada. We recorded revenues of $40.7 million, as compared to $72.7 million in the fourth quarter of 2023. Adjusted EBITDA in Canada was negative $4.7 million, a decrease from $3.5 million in the fourth quarter of 2023. The year-over-year revenue and adjusted EBITDA decreases were, again, driven by the wind down of LNG-related activity, including the completion of pipeline activity for our mobile camps, the sale of the McClelland Lake Lodge and lower build room as a result of our customers' recent focus on cost headcount reductions. During the fourth quarter, build rooms in our Canadian lodges totaled 360,000, which was down from 617,000 in the fourth quarter of 2024 due to the reasons I just mentioned. Our daily room rate for the Canadian segment in US dollars was $94, which decreased from $95 in the fourth quarter of 2024 due to the mix of occupancy among the lodges. Looking at our capital structure. Our net debt on December 31, 2024, was $38.1 million, $5.9 million increase in September 30, 2024. Our net leverage ratio for the quarter was 0.5x as of December 31, 2024. As of December 31, 2024, we had total liquidity of approximately $202 million, giving us the strength and flexibility to opportunistically pursue growth opportunities such as our recently announced Australian acquisition, while maintaining prudent leverage ratios. Next, I will turn to capital allocation. I'll start with CapEx. On a consolidated basis, capital expenditures for the full year 2024 [Audio Gap] down from $31.6 million during 2023. Capital expenditures in both periods were predominantly related to maintenance spending on our lodges and villages. CapEx in 2024 included approximately $3 million related to customer-funded infrastructure upgrades at our Australian villages, which were reimbursed by Civeo's customer. That compared to $10 million for the same spend in 2023. In the fourth quarter of 2024, we repurchased approximately 208,000 shares through our share repurchase program for a total of approximately 5.6 million. For the full year 2024, we repurchased over 1.1 million shares for approximately $29.6 million compared to 564,000 shares for $11.6 million in 2023. As Bradley mentioned, this brings our total return of capital to shareholders in 2024, including quarterly dividends and share repurchases to $44 million, representing 65% of our 2024 free cash flow. We will continue to opportunistically repurchase shares moving forward. Regarding the dividend earlier this month, the company announced that its Board of Directors declared a quarterly cash dividend of $0.25 per common share, payable on March 17, 2025, to shareholders of record as of close of business on February 24, 2025. With that, I'll turn it over to Bradley to discuss our guidance for the full year 2025. Bradley?
Bradley Dodson: Thank you, Collin. I would like to now turn to a discussion of our initial 2025 guidance on a consolidated basis, including the underlying macro and regional assumptions. We are initiating full year 2025 revenue and adjusted EBITDA guidance of revenues of $630 million to $660 million and adjusted EBITDA of $80 million to $90 million. Our initial full year 2025 capital expenditure guidance is $25 million to $30 million. This guidance takes into account the recent reduction in currency exchange rates experienced since late 2024 and excludes any contribution from the recently announced Australian acquisition, which we expect to close during the second quarter, subject to regulatory approvals and customary conditions, and we'll provide updated 2025 guidance upon completion. On last quarter's earnings conference call on October 2024, we provided a preliminary outlook for 2025. Since then, there have been some material shifts in global markets and within our business that have impacted our outlook. I would note that those comments on the conference call were before the U.S. election, before changes in Canadian political landscape, the announcement of potential tariffs and the impact that all of those have had on U.S. dollar versus Canadian dollar and Australian dollar exchange rates. So first, the Australian and Canadian currency exchange rates have weakened meaningfully compared to 2024, driving an EBITDA headwind for our U.S. denominated results. Based on today's spot rate, the order of magnitude of this headwind is approximately $5 million in EBITDA. Second, the political uncertainty in Canada is driving changes in customer behavior. New capital spending is certainly being delayed or pushed to the right, which impacts our mobile camp fleet deployment and our oil sands customer's quest to lower operating costs has accelerated, driving a sustained reduction in our Canadian occupancy. Taken together, the combination of all these factors is driving reduced guidance as compared to the $90 million comment I made last quarter. That said, the team is executing on what we can control. In Canada, we are aggressively looking inward at our cost structure to rightsize the business. In Australia, we are deploying capital to facilitate continued growth as evidenced by our recently announced acquisition. Based on these investments, we are confident that we'll exit 2025 in a better position than we are starting in. In 2025, we expect cash tax payments of approximately $90 million in Australia, which includes approximately $10 million of payments related to the 2024 tax year -- I'm sorry, we expect cash tax payments of approximately $30 million, which includes $10 million related to the 2024 tax. When we incorporate the 2025 cash tax payments of $30 million, we anticipate 2025 free cash flow of $30 million to $40 million. I will now provide the regional outlooks and corresponding underlying assumptions by region. In Australia, customer activity in our own villages remains incredibly strong, and we expect to continue at similar levels moving forward. We are full at three of our Bowen Basin villages with strong occupancy at the rest of our owned village portfolio in Australia. We expect that to continue throughout 2025. As it relates to our integrated services business, we are continuing to experience increased demand from our recent contract award and expect to build on this in 2025 as we work towards our stated goal of AUD 500 million of integrated services revenues by 2027. Our outlook also assumes in Australia, modest billed room growth as well as expansion of our CIS business. In Canada, as I mentioned earlier, our customers are focused on reducing capital spending and operating costs. Investments in the region have declined over the last 10 years as a result of increased economic and political uncertainty, leading to lower headcount in the Alberta oil sands region and therefore, negatively affecting our occupancy. In the first quarter of 2025, we will incur onetime restructuring costs of approximately $3 million to help rightsize our Canadian cost structure. This includes shutting certain lodges and reducing overhead approximately 25% in terms of headcount. The strategy in Canada is to weather the storm with as lean a cost structure as possible. We are looking to reduce our dependency on the oil sands activity by potentially expanding geographically and end markets we serve in Canada. As we stated before, we only pursue opportunities in line with our capital allocation framework. Despite these near-term headwinds, we remain optimistic about the medium and long-term opportunities in North America, including, for example, possible ramp-up of LNG activity in the next couple of years and the possibility of pathways carbon capture project. Before we head into the Q&A section of the call, I'd like to close by saying and our Canadian business 2025 will be a year of transition. While we work to mitigate these near-term headwinds, we remain optimistic about the business, and we'll see improvements in the medium to long-term based on strategic actions we're taking today. We will continue to grow our Australian integrated services business in line with our stated strategy and are pleased with the progress that we've made in the region thus far. I am confident in our team's ability to execute on our growth strategy as we adhere to our capital allocation framework. With that, I'll open the call to questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Stephen Gengaro with Stifel. Please proceed with your question.
Stephen Gengaro: Thanks. Good morning, everybody.
Bradley Dodson: Good morning.
Collin Gerry: Good morning.
Stephen Gengaro: I think a couple for me. The first is you disclosed incremental details about the asset light versus the asset-intensive businesses. And one of the things that jumped out to me was I was kind of under the impression that the asset-intensive side was a larger revenue base. So in that breakout, does that include, sort of, catering and facility management that you're providing at owned assets?
Bradley Dodson: That's correct. And so it includes the third-party integrated services that we provide at customer-owned locations and combines that with the hospitality services we perform at our owned locations.
Stephen Gengaro: Okay. And then when we think about that going forward, I imagine that the integrated services side is sort of the area of growth.
Bradley Dodson: That's right.
Stephen Gengaro: Okay. Good. The two other ones that I had. One is from a seasonal perspective, I know your guidance is still early stage, but is there any reason not to expect kind of a normal seasonal distribution in 2025? Is there anything sort of specific we should be thinking about from that perspective?
Bradley Dodson: I assume, Stephen, you're referring, historically, 60% to 65% of the full year EBITDA is generated in the second and third quarters, and that is expected to be the case in 2025 as well, excluding the impact and the timing of the Australian acquisition.
Stephen Gengaro: Okay. Great. And then the other question, it has to do with Canada. And when we think about what's sort of highly visible in Canada and what is more, for lack of a better word, kind of spot-oriented work. Is there any way to think about sort of the of the percentage Canadian revenue stream, maybe using 2024 as kind of a benchmark that. Like how much of that is sort of highly visible at this point? And how much of that is sort of more discretionary?
Bradley Dodson: I'll frame the answer in this way, is that, historically, we have the -- in Canada, we have -- the number of guests we have kind of through daily operations. And then the second component is turnaround activity, which is the primary driver of the seasonality we just spoke about. Canadian turnaround activity typically occurs in the second and third quarters because of the climate and the increase in productivity when it's not sub-freezing temperatures. As a result, historically, turnaround activity in terms of our total number of room nights in Canada on a full year basis is about 25% to 30% of total room nights. That's expected to continue.
Stephen Gengaro: Right. Good. No, that’s good. I will get back in line, but that’s very helpful. Thanks.
Bradley Dodson: Thanks Stephen.
Operator: Our next question is from Steve Ferazani with Sidoti.
Steve Ferazani: Morning Bradley, Collin. Appreciate all the detail on the call. Bradley, I wanted to ask about the response to what some might view as short-term uncertainty. Do you seem to now expect, and I'm sure this is coming from customer feedback that this reaction is ultimately going to be long term, there's going to be a longer-term impact, right? The political uncertainty is what it is, the wildfires, maybe you didn't recover as fast. I'm curious if this is sort of the needle that broke the camel's back? Or are you seeing the reaction from customers to be -- all right, we're cutting and now -- right? You see where I'm going with this, a 25% workforce reduction is pretty dramatic, given some of this -- some might view this as short-term?
Bradley Dodson: No, that's a good point and a very good question. We are viewing this as a shift in customer behavior and preparing that it will be a long-term shift in customer behavior as it relates to occupancy levels in the Canadian oil sands region. And so we're making adjustments to cost structure to reflect that. It was a market dynamic that we really started to feel in the fourth quarter of last year and close -- staying close with our customers, we see that that level of intent to reduce headcount on site to continue. And so we're adjusting our cost structure accordingly. Now, what can change that picture? Well, effectively, our Canadian oil sands rooms are serving operations and maintenance. If there are any sort of project work or expansionary work over the medium term, that would be positive to occupancy -- pathways would be positive to occupancy. Another LNG project will be positive to occupancy in Sika. But with the Canadian government effectively shut down until they resolve the Prime Minister situation, 2025 is kind of a question mark. So, we don't see that -- I think the positive, the glass half-full perspective is customers aren't reacting to the headlines day to day that are coming out, but they're also not really excited about putting additional capital work. And so I expect Canada will be -- I think we've painted it appropriately with the term uncertainty.
Steve Ferazani: And third, you could have made cuts early right along the way because coming out of COVID, I mean, you've had excess capacity in the system all along, right?
Bradley Dodson: I would say that we're always conscious of our cost structure. This was a material change in the outlook, and we responded accordingly.
Steve Ferazani: Okay, fair enough. Turning to Australia, which has been obviously fantastic results consistently there. Given the China economic weakness and the pressure it's having on certain metal prices that are important to your customers, are you concerned about CapEx in that market and how it might impact results 18 months from now, two years from now? And how much do the long-term agreements protect you?
Bradley Dodson: Great question. I would say that what we've seen there is that particularly on the met coal side, prices have softened below $200 a ton. But what is kind of -- our outlook is the current customer conversations. Customers are still looking for rooms. You referred to, in your question, we have a strong backlog in terms of take-or-pay contracts at our Bowen Basin locations. And customers are still looking for long-term contracts there. So more succinctly, it hasn't changed -- the near-term pricing hasn't changed customer behavior at this time. So as we look longer term, it's too early to tell. But right now, customers are much more -- in Australia, are talking about their expansionary projects, their need for additional rooms, and we're responding accordingly.
Steve Ferazani: Okays.
Bradley Dodson: So an outlook for the owned villages in Australia looks good at this point.
Steve Ferazani: That's great. Just a modeling question, I know you're not including those four villages, but when you announced it, you did put out an annualized number, any reason to think that number is not still fair? And is your reason for not including it more to do with the timing being unclear?
Bradley Dodson: Yeah. Yeah. I mean, I think, we -- the conditions to close the transaction are not entirely within our control. So not wanting to put a timeline on that, other than to say, the current expectation is it closes in the second quarter. So it's not, in my opinion, very delayed closing. But there's no reason for us to change at this point.
Steve Ferazani: Yeah.
Bradley Dodson: The guidance on what we think on a full year basis, the acquired business, the acquired villages could generate.
Steve Ferazani: Okay. Any risk to closing?
Bradley Dodson: No, not at this point.
Steve Ferazani: Okay. Okay. Thanks so much, Bradley.
Operator: Our next question is from Dave Storms with Stonegate.
Dave Storms: Good morning. Appreciate you taking my questions. I actually wanted to stick with that acquisition. About 3.9 times EBITDA feels like a good deal, especially considering the EBITDA margin should be pretty much immediately accretive. Is this indicative of the overall market that you're seeing in the Bowen Basin? Or is there something specific to that region or that seller that drive this price?
Bradley Dodson: I would say that you've highlighted the things that impacted it. I think we were -- we're a buyer that could pay all cash. The seller wanted I think, a fairly easy straightforward transaction to execute. And it is a good price. I would say, are we going to get -- are all the assets in the market priced at that level? No.
Dave Storms: Understood. That's very helpful. Thank you. And then with that property, are there integrated services already onsite? Or is there an opportunity to further add to Australian integrated services?
Bradley Dodson: This would be in addition to integrated services. So currently, the owner out-sources that, and we will obviously in-source it.
Dave Storms: That's great. Thank you and then one more for me. Great, again, you added the asset-light first assets disclosure on your report. It looked like year-over-year in Canada, the asset-light portion held up fairly well, despite the noted drop in the occupancy. Is there anything specific that's driving the resilience there?
Bradley Dodson: Year-over-year the delta and Canadian revenues was impacted by mobile camp activity, which would be in the asset side of things 2023 that was not present in 2024. That would be the biggest driver.
Dave Storms: Thanks for taking the questions.
Operator: Our next question is from Josh Jayne with Daniel Energy Partners.
Josh Jayne: Thanks. Good morning. First question, just when you think about free cash flow, you highlighted 65% of your free cash flow last year was returned to shareholders. How are you thinking about this going forward, I guess, in the context of the acquisition that you just did and maybe you could just frame it over the medium to long term, how you guys are thinking about maybe a percentage of free cash flow to ultimately return to shareholders?
Bradley Dodson: Well, I think our free cash flow framework is based off of a fundamental dividend and then opportunistic buybacks with where our leverage has been. Historically, we were below our target, which is a plus or minus 1 times levered with the ability to lever up to 2 times levered for the right growth opportunity, and none of that has changed. And so that's how we'll continue to approach it. Post acquisition will be roughly 1 times levered on a pro forma basis, so still able to deploy capital under the same framework.
Josh Jayne: Okay. Thanks. And maybe just 1 follow-up on the Canadian business. You talked about the rightsizing that you're doing. This year, but also the medium to long-term optimism. Could you just talk about how you're thinking about managing that over the course of this year? If things don't progress, are there costs that further need to be taken out of the business? Or just how you're trying to balance what should maybe be a softer uncertain year in '25 against long-term strength in the business?
Bradley Dodson: Well, I think we've rightsized the business for the reality that we see right now. And as I mentioned in our comments, the uncertainty in the market, we'll have to see how it develops. We'll -- we consistently look at our cost structure and match that to our outlook.
Josh Jayne: Okay. Thanks.
Operator: Our next question is from Stephen Gengaro with Stifel.
Stephen Gengaro: Thanks. Most of what I was going to ask was asked on the cash flow side. But just a quick one. The acquisition in Australia, can you talk about sort of the types of deals you're looking for? And if you think that incremental deals would be more likely in Australia than other markets at this point?
Bradley Dodson: Well, I think we've been fairly consistent in what we're looking for. So, if there are opportunities to buy additive locations that fit into our portfolio again, largely in Australia, just given the macro dynamics, we'll continue to look at that, and there are opportunities there. More broadly speaking, there's a bigger opportunity in integrated services in Canada and Australia. It's a larger market. And so our pivot has been to that. We continue to expect growth in our Australian integrated services business. And we're well on our way to our $500 million target. In Canada, we need to diversify geographically and by end market. There's considerable activity developing east of our legacy markets of Alberta and British Columbia, that is mining and infrastructure related that could be asset only, that could be integrated, meaning both asset and services or it could be just integrated services and that sales effort is ongoing, and it's too early to tell, but the activity is strong in terms of bidding.
Stephen Gengaro: That's helpful. I think I am all set. Thanks for the color.
Bradley Dodson: Thank you. We appreciate it.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to management for any closing remarks.
Bradley Dodson: Thank you, Paul. and thank you, everyone, for joining the call today. We appreciate your interest in Civeo, and we look forward to speaking with you on the first quarter earnings call expected in April.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.